Operator: Good day, and welcome to the Cool Company Limited 1H 2024 Results Presentation. At this time, all participants are in a listen-only mode. Later, you will have an opportunity to ask questions during the question-and-answer session. [Operator Instructions] Please note today's call may be recorded, and I'll be standing by if you should need any assistance. It is now my pleasure to turn the conference over to Richard Tyrrell, Chief Executive Officer. Please go ahead. 
Richard Tyrrell: Thank you, Todd. And good morning to those in the US. Good afternoon to those in Europe and further East. Welcome to CoolCo's Second Quarter 2024 Results Presentation. Please turn to Slide 3, CoolCo at a glance. Let me start with a summary of the headline numbers for the second quarter and our expectations for the third quarter. We will get into more detail as we move through the presentation. But I would like to highlight the following. Average TCE of $78,400 per day is up from $77,200 in the first quarter. That's above our peers and this is expected to increase for the third quarter because of the existing fleet being fully chartered. John will provide further guidance later in the presentation. Revenue was in-line with guidance despite our first drydock of this cycle being drawn out and as being off higher for longer than I would have liked. Revenue would have been higher, had this not have been the case. And I'm pleased to say that the two drydocks since the end of the quarter have gone more smoothly with both already being completed ahead of schedule and budget. Dividend is maintained at $0.41 per share. Backlog remains strong with our one open vessel since the end of the quarter having been charted for 12 months to an energy major. The first of our newbuilds will be delivered and ready for business at the end of October, while the second remains on schedule for delivery to GAIL in the first quarter of 2025. The LNG market has had a quiet summer, but the winter season, new supply and tender activity in the long-term market is very much expected to liven things up going forward. Turning to page 4, we summarized the quarter of harvesting contracted cash flows from charters while dry docking and securing employment for open vessels. The harvesting amount is $78,400 per day, which is our TCE and that's driven by a full quarter contribution from the Kool Kelvin and the Kool Husky vessels that started on new term charters in the first quarter, and this drove operating revenue in-line with guidance of $83.4 million. I've touched on our 14 plus two year charter with GAIL and the charter of the Kool Blizzard already. As a result of the charter on the Kool Blizzard, we no longer have exposure to spot-linked charters. The Kool Blizzard made $55,000 per day in the first half of the year and will make around $10,000 a day more on this new 12 month charter deal than it did in the first half. The charts at the bottom of the page continue to trend well. Our average rate of $78,400 per day shows the benefit of having a diversified portfolio of charters. The level at which this stabilizes is important to us, since it is the TCE on our existing fleet combined with the higher level that we aim to achieve in our newbuilds that underpins the strength and long-term dividend capacity of our business. The adjusted EBITDA chart in the center is affected in a way that TCE isn't by the scheduled off day -- offhire days during the quarter which were related to the dry dock. This applied in the second quarter as denoted by the [ICAN] (ph), and will continue to apply to varying degrees until the end of the dry dock period in the middle of 2025. Offsetting this will be the contribution of the newbuilds from the fourth quarter of 2024 and the first quarter of 2025. Embedded within EBITDA is the cost performance and that's something which is quite pleasing and is something that John will cover later in the presentation. Lastly, we have our backlog that saw a big increase on the announcement of the GAIL charter, ahead of the last quarter's results. As a reminder, the average term across our portfolio of charters is just under five years with the longest extending all the way to 2039, excluding the option or 2041 including the option. In the next few slides, if you turn to Page 5, we have something of a health check for the LNG sector, both in the near and longer-term and what it means for shipping. Simply put, a huge amount of new liquefaction is coming online in North America and a great deal of that cargo is going increasingly long haul to Asia. Additional good news is that the LNG price as indicated by JKM and TTF remain strong compared to Henry Hub which is good for margins. And this doesn't just apply to the US volumes, it applies to pretty much all the sources of LNG globally. And as they say, what is good for our customers is also good for us. Europe was the story with a war and three warm winters. Fundamentally, this isn't actually great for shipping because of the lower ton miles. But all bets are off in a crisis, as we saw. And there's always upside for shipping from a cold winter in Europe especially if combined with the loss of Russian pipeline gas, which still flows through Ukraine. The volatility could easily return. But in the meantime, it is stable LNG prices that have set the tone for the market. And as a result, much of the LNG has headed East. The middle chart shows us, Europe is down and there is very strong appetite from the Asia Pacific region, which of course is good news for shipping given the greater shipping distances. The effect is magnified by growth in US production and canal limitations. The chart on the right shows how ton-miles are set to increase by 14% between 2023 and 2025 according to Clarksons Research. It also compares the growth of the fleet. The growth of the fleet is set to be -- is set to grow 21% over this period. But it is not something to fear when you have the underutilized steam turbine fleet to balance the market. According to the chart, only 40 steam turbine vessels going warm would balance the market, something that's easy to envisage. Going warm is significant because the cost of cooling down before putting vessels into operation effectively takes them out of the picture. The capacity of the steam turbine fleet, expressed in 170,000 cubic meter equivalent terms is around 200 vessels and removing 40 would mean retiring those built in 2003 or earlier. These ships are now over 20 years old and most will be off charter, making it easy to see how these balance the markets, first through underutilization, before eventual scrapping. Taking the analysis further, the chart on page six shows that even with the known project delays, LNG supply coming in 2025 is considerable. That is the blue line. This translates into the upward sloping funnel that represents growth in shipping demand through 2025 that we've looked at previously and goes beyond. We are projecting a 75% growth in LNG supply from 2023 to 2030, a level that is within the range of the latest projections from Shell, BP, ExxonMobil and so forth. The chart shows where the LNG supply is coming from. The green area is the ramp-up from Australia that is already behind us. The blue area shows how the Middle East and Africa will maintain market share through the Northfield expansion in Qatar. Much of this year's new supply was due to come from Russia, but that isn't large in the scheme of things. And lastly, it's the grey area that we see the North American supply coming through. This is a highly meaningful development for the industry, given the longer shipping distances involved in getting US LNG to market. North American supply getting to 40% globally is indicated here by 2030. And that's going to be big news for shipping. The market has responded with new ships, but nearly all of those ordered are already committed, leaving very few available for those yet to cover their volumes or those seeking to transition away from older tonnage. The top-end of the funnel shows shipping demand should new volumes shift predominantly to Asia. The bottom end edge of the funnel is a scenario where new volumes shift predominantly to Europe. With Europe adequately supplied, new production will travel long haul to the East. And under this scenario, there is a considerable and as yet uncovered demand for shipping towards the end of the decade. If you could please turn to Slide 5, we'll come back to today and an update to our familiar charts of current rates. The LNG carrier market has been subdued over the summer, although spot rates have started to gain ground heading into the seasonally stronger winter period. Term rates, however remained relatively soft compared to the exceptional 2022 to 2023 levels. In the near term, seasonal upside is expected soon, even though it may be tempered this year by fleet growth delivering in advance of new volumes that only really ramp up next year. The central short term question is when will seasonal strength arrive to the market? We hedged our bets with the vessel that recently came open and fixed it, as you can see on the right hand chart. With this particular fixture, we hit a brighter patch in the market and it also came with benefits around the location and timing of the vessels drydock, which are of significant value. September is often the month, as people returned from the Summer, and this year with a number of charters being relatively short shipping, there is a good chance that that serves as catalyst for activity. As the charts apply only to our TFDE vessels, what matters most for us is how the yellow line looks towards the end of the year when the Kool Glacier becomes open for chartering. I'll talk about the prospects for our two-stroke opening illustrated by the green shift here on the next slide. On Page 7, we cover our plans for the Kool Tiger which is our last remaining 2-stroke that is open and is currently being marketed. As a second generation 2-stroke, it is around $5,000 a day more efficient than first-generation 2-stroke designs and that makes it highly attractive to charterers. The timing of its delivery provides us with an opportunity to combine long term charters with a range of startup dates with a shorter term charter at an attractive winter rate providing interim employment. We are competing at several processes that are formal RFPs in nature and in addition, have a growing pool of leads as delivery nears. There is strong interest from charterers, both seeking to match their forthcoming volumes with shipping and those planning to release older steam tonnage. Charterers increasingly recognized that newbuild costs are not likely to come down anytime soon, and interest in the longer term shipping extends to volumes that are planned all the way through 2027. The Kool Tiger is at a particular advantage for 2025 requirements where there are few if any competing ships available. As we have mentioned in the past, essentially all of the modern vessels currently participating in the spot market are sublets intended to service specific new projects that will be coming online and thus are not able to compete for longer term business. Our target is to achieve multi-month rates illustrated here along with a longer-term charter broadly comparable to our deal on the sister ship, the GAIL [Sega] (ph), subject to adjustments based on charter duration. Over to you, John, for a more detailed look at the quarter. 
John Boots: Thanks, Richard, so I'll provide you with the financial overview for the second quarter of '24. Turning to Slide 9, in our earnings release earlier today, we reported total operating revenues of $83.4 million, which aligns with guidance provided previously and is slightly above consensus estimates. Time and voyage charter revenues for the quarter were $76.4 million, resulting in an average time charter equivalent rate, a TCE rate of $78,400 per day across our fleet of 11 vessels. As Richard highlighted this represents an increase from the TCE rate of $77,200 in the prior quarter. The TCE revenues is a slight decrease compared to last quarter of $78.7 million, primarily due to one vessel being in dry dock and a lower floating rate on another vessel which has since transitioned to the one year fixed charter. This decrease was partially offset by two vessels securing higher TCE rates during the second quarter. Operating revenues also include the non-cash amortization of net intangible contract assets and liabilities amounting to $4.5 million, and it also includes third-party vessel management revenues of $2.5 million for the quarter. As previously disclosed, the scaled down third-party vessel management operations reduced the revenues associated with that business, but it also reduced certain associated fleet management costs. We expect to be even a bit lower on the admin cost side, which includes the fleet management cost going forward. To reflect that we are now left with third -- sorry, with three third party vessels under management. Adjusted EBITDA for the second quarter was $55.7 million compared to $58.5 million during the first quarter. This decrease was mainly due to lower TCE revenues, though it was partly mitigated by our cost management initiatives. Adjusted EBITDA is calculated by excluding the non-cash amortization of intangibles from our operating revenues. As a result, adjusted EBITDA this quarter was $4.5 million lower than what unadjusted EBITDA would have been. Vessel operating expenses for the quarter were $17,000 per day per vessel, trending lower towards pre '23 levels and below our fourth quarter rolling average. The 2023 numbers were highly impacted by stocking up of four vessels that were acquired without any inventory during the fourth quarter of '22. This slide also provides selected guidance. Q3 revenues are impacted by the completion of two drydocks during the quarter and another drydock startup in mid-September, with expected completion in late October. The exact timing of this third drydock may shift based on cargo delivery schedules and the charterer's needs. However overall, for Q3, we expect a moderate increase in the TCE rates and also in the timing for each chartered revenues compared to the second quarter. Turning to Slide 10, operating income for the second quarter was $41.4 million, a $2.7 million decrease from the $44.1 million during the prior quarter. This was primarily related to the revenue reasons mentioned earlier and partially offset by the positive impact of our cost management efforts, which were initiated in the beginning of this year. These efforts have yielded good results so far in terms of our administrative expenses, which include third-party fleet management costs. Overall, a cost savings versus Q1 of around $2 million, also demonstrating operational efficiencies across key areas. The operating margin relative to operating revenues was approximately 50%. The same level as in Q1. Net income for the second quarter was $26.1 million, down from $36.6 million in the first quarter, with the majority of the decrease relating to reduced unrealized gains on our mark-to-market interest rate swaps amounting to $7.2 million. Turning to Slide 11 on the dividends. On a cumulative basis, since the inception of our dividend policy, we've paid out approximately 70% of our net income, adjusted for the non-recurring gain related to the sale of the Seal vessel during the first quarter of last year. The Board has approved a dividend payout of $0.41 per share with an ex-dividend date of September 6 for the New York Stock Exchange and September 9 for the OSE and a record date of September 9. The dividend will be distributed to the DTC registered shareholders on and around September 16 and the Norwegian registered shareholders on and around September 20. Turning to Slide 12 on the backlog. As reported during the last earnings call, our backlog includes the newbuild charter with GAIL India. It now totals $1.8 billion, including all extension options, which is equivalent to approximately 62 years of backlog or an average of 4.8 years per vessel considering all 13 vessels in our fleet. The average TCE rate for our entire backlog is approximately $79,000 per day per vessel assuming all options are exercised to their maximum extent. The average TCE rate on our firm backlog, though is even higher at $84,000 per day. The chart on the right shows the breakdown of the backlog over the next several years. It also shows you consensus revenues for the second half of '24 and the full year '25, and it shows you that they are substantially covered by our committed backlog. Turning to Slide 13, as of June 30, our cash and cash equivalents totaled approximately $84 million, down from $106 million in the previous quarter, mainly due to the semi-annual debt amortization on our ING facility, which was paid in May, which has a $20 million swing impact from quarter-to-quarter. Currently, our available liquidity position stands at a solid position of approximately $200 million, which is based on the June 30 cash plus the available pre-delivery liquidity of $77 million under our newbuild financing and $40 million under the recently announced upsize of the ING facility, both of which we have yet to draw. We structured the upsides with an option for a delayed drawdown to continue to benefit from the low interest rates on the existing sale and leaseback facility. With the two newbuilds added to our fleet during Q4, we obviously expect these vessels to generate or the company to generate additional free cash flow to equity going forward. Turning to Slide 14, on the debt structure, this slide represents our gross and net debt positions as of June, as well as on a pro forma basis. Assuming the newbuilds have been delivered and we would have drawn all available debt as of June 30. We believe we have a well-balanced debt structure, no debt maturities until Q1, '27 while maintaining a healthy hedge ratio which has generated substantial swap gains, both realized and unrealized. While we recognize that unrealized gains may decrease if interest rates drop, on the other hand, this presents us with a near term opportunity to lock in additional swaps at lower rates given where the market is heading. This concludes my part. I'll hand the call back over to Richard. Thank you. 
Richard Tyrrell: Thank you, John. Just turning to Page 15, I won't go through this point by point, but before ending, I'd like to use the opportunity to draw attention to our ESG report for 2023 that has been published since the last time we spoke. It's a good read, and I recommend you take a look. We reduced our AER to 7.49 for 2023. That's about 23% below 2019 levels, and it puts us on track to reach our 35% reduction target across the fleet by 2030. So making good headway there. And we will have the early results from the Husky, which is being upgraded from the middle of September through to the end of October, to report next time we speak. So maybe on that note, I will wrap up the formal part of the presentation. And, Todd, if we could please open up to questions.
Operator: [Operator Instructions]. Our first question will come from Alexander Bidwell with Webber Research & Advisory. Please go ahead. 
Alexander Bidwell: Good afternoon, Richard and John. How are you guys doing? 
Richard Tyrrell: Good, thanks. Alex, how are you? 
Alexander Bidwell: Doing great, thank you. So starting off with the uncommitted newbuild, could you provide a little bit of additional color on the current market sentiment for the vessel? What sort of appetite are you seeing in terms of contract length, options, et cetera? 
Richard Tyrrell: The market is a market that is a little bit split between those people who are looking to enter into something long-term and those who are more playing the short-term weakness in the market. And the reason why we've stressed the formal nature of the processes that we're involved in are that they typically, in fact, almost always end up in a big deal being done. And obviously, we're quite optimistic about at least one of those coming up -- coming our way. The -- so that's the long-term -- that's the way the long-term charters are thinking. Short-term charterers, this talk about delays here and there, and of course, they are figuring they can put off decisions, and maybe it's that -- that's driving what I would call a slightly soft summer. 
Alexander Bidwell: All right. And I guess following up on that a little bit more. So the upgraded TFDEs that you guys are working to execute over the next several quarters here, how do you see those upgrades impacting the desirability of those vessels against modern 2-strokes? 
Richard Tyrrell: Well, there is two things to consider in relation to the upgrades. One is how much additional day rate we can achieve, and the other is how attractive they are versus other vessels. And as I think, as -- we've highlighted when we did the deal on the Husky, and it's actually, we've done a very similar deal on the Blizzard, we will get to share in the upside with the charterer. How much that ends up being will depend on how well these vessels end up performing and to some extent, how the charterers choose to run them. But we do see a good few thousand dollars of upsize there above what one might expect to get to a normal -- get for a normal TFDE vessel. When it comes to attractiveness versus other ships and maybe this is something we have to think about in respect of these vessels a little bit further out. But the analogy would be steam vessels today. They're simply not being picked up, they're not being utilized. They are going warm, as I referenced, and that's not a good position to be in. And of course, the quality tonnage always gets picked up first. And to the extent that you can leapfrog ahead of the competition, it puts you in a better position. 
Alexander Bidwell: All right, thank you. And if I could squeeze just one more in here. So just taking a quick look at the Panama Canal, how do you see the long-term slot allocation program and the reservoir expansion project impacting global shipping routes? Do you think it could bring an element of normalization to these elongated ton miles that we've seen over the past few quarters? 
Richard Tyrrell: I do see more vessels going through the Panama Canal in due course, as long as it's able to take them. I think this year, there is always a bit of a delay factor because people figure it -- figure out their shipping schedules well ahead of time. So I would see a bit of optimization going forward. However, the market has been able to accommodate the longer routings. People are sailing a little bit slower, maybe than what they have in the past. They are getting savings on the fuel consumption and environmental benefits from doing so. There is still uncertainty over how many ships the Panama Canal can really take. So, bottom line, I -- there will be a bit of a normalization, but not that much. 
Alexander Bidwell: All right, thank you. That's all I've got from my side. 
Richard Tyrrell: Thank you, Alex. 
Operator: Thank you. Our next question will come from Liam Burke with B. Riley. Please go ahead. 
Liam Burke: Thank you. Hi, Richard. Hi, John. 
Richard Tyrrell: Hi, Liam. 
John Boots: Hi, how are you? 
Liam Burke: Richard, you secured the spot vessel on a 12-month charter with an energy major. How much interest is there out there to secure that same vessel on a multi-year charter? Or do you see just rolling that 12 month over? 
Richard Tyrrell: That depends on the rate level you can achieve. We firmly believe in higher rates get going forward than what you might be able to achieve in the market today for a longer term charter. So we're always trying to strike the balance there between maintaining optionality on those higher rates and ensuring we have good coverage across the fleet. And on this particular occasion, we felt that the right balance was to go for this 12 month deal at the sort of level that's indicated in the pack. 
Liam Burke: Great. Okay. I hope I have this right. If not, correct me that the TCE rate per vessel on your backlog is $84,000. And I guess my question is -- I'm sorry. 
John Boots: So sorry. Yeah. On the firm backlog, if you include all the options, it's slightly below $80,000 per day. Yes. 
Liam Burke: $80,000. Okay, great. What I'm asking is, on the newbuild, on the 14-year charter, does -- is that -- how does that balance off your average backlog TCE per vessel? 
John Boots: For the other vessels only, you mean excluding the newbuilds? 
Liam Burke: No, I mean the newbuilds --. 
John Boots: That's what you're asking? 
Liam Burke: Yes. 
Richard Tyrrell: Well the newbuild drags things out. It's a 14-year deal. And it's on sort of one ship out of 13, so I haven't got the math here, but it's going to. It does have a very helpful impact on the overall picture, for sure. 
John Boots: Yeah. I think just from the top of my head here. From the top of my head on the firm backlog, you're still 80, roughly 80 on the -- all the other vessels, excluding the newbuilds on a firm backlog basis. 
Liam Burke: Yeah. Okay. Alright. Thank you, Richard. Thank you, John. 
Richard Tyrrell: Thank you, Liam. 
Operator: Thank you. Our next question comes from Frode Morkedal with Clarksons Securities. Please go ahead. 
Frode Morkedal: Thank you. Hi, guys. 
Richard Tyrrell: Hi, Frode, how are you? 
Frode Morkedal: I don't have much -- doing good, thanks. Yeah, With the [$65,000] (ph) charter, I guess you don't have much spot exposure in the near term. But I wanted to check what's your view on the spot market anyway. You mentioned the winter season, maybe contango, floating storage. What's your outlook in the next few months? 
Richard Tyrrell: I think it can go one of two ways, and I think both of them are quite favorable for shipping. We talk a little bit about this in the presentation, but we have a market where people are relaxing a little bit about their shipping requirements. And of course, sentiment is a big factor. But sentiment is something that can quickly change, and it would do if we had a cold winter. And of course, that's something that would mean that storage comes into play, which is maybe one scenario. The other scenario is that, as we've seen today, the volumes head East. And to some extent that will be because maybe you have a cold winter in the East, but it'll also because the volumes will go to these emerging markets where we are seeing a lot of growth, such as India, Thailand and so on and so forth. So that is the scenario where maybe things are not as volatile, but because of the distances involved, it's equally positive for shipping. Yeah. Does that answer the question Frode? 
Frode Morkedal: Yeah, it's good. It's -- I guess also the Suez Canal will enter the scenario here, right? I mean one -- first question is net positive or negative, do you think? One thing, I guess obviously you have the ton-mile effect, but you also have, it makes arbitrage spread more challenging, right? Yeah to reroute. 
Richard Tyrrell: Correct. 
Frode Morkedal: So what's your view on that, first off? 
Richard Tyrrell: Yeah, I mean, if things stay relatively stable, it won't necessarily be a trader's market, but it will be a market where those who have LNG volumes are going to be making decent spreads just simply because of the price of whether it'd be Henry Hub or whatever the source is and the kind of prevailing prices that we're seeing in the end-markets. And we've seen that even as things have stabilized in the results of the -- particularly the big players, which have been really quite good. So, yeah, I mean maybe the closure of the Suez Canal in particular that impacts the arbitrage trade, but it -- I don't think it impacts the overall shipping demand that much. The distance to India, if you have to go around the Cape of Good Hope is a bit further, and that's probably the most affected market. The distance to Asia or China, JKM and so on, is not a great deal further and maybe doesn't -- it's not so impacted. 
Frode Morkedal: Understood. And then on the Kool Tiger, I mean, it seems like you on Page 8, talk about the multi-month being 95,000. Little bit high, I guess. But you also said you think the long term charter rates could be the same, right? Can you talk about that? What's your confidence in that number, really? 
Richard Tyrrell: Yeah, I mean we -- let's take the long term rates first. And we obviously know what the last term was, because we did it with the GAIL Sega and we did that deal on a 14 year basis. We don't think things have moved materially from those kinds of levels. And there's going to be a little bit of a delta based upon the duration of the contract, it's a little bit higher something that's a bit shorter. I'm not sure whether there is anything longer out there, but the opposite would also apply if there were. So that's kind of the area we are in for the longer term charter and the shorter term charters will depend a lot on the winter market but I don't think it's unreasonable to assume 95,000, so I mean for us, our plan is to try and put those two things together which obviously would be a great, great result. 
Frode Morkedal: Yeah, so you first go into the voyage market or do you intend to or do you hope to get the long term charter quite soon? 
Richard Tyrrell: Well ideally, you'd get the long term first, so then you know exactly how long you had available to charter the vessel into the voyage market or there's just not a voyage market technically but a shorter term charter for. 
Frode Morkedal: Yeah. Okay, perfect. Thanks. 
Richard Tyrrell: Same here, thank you, Frode. 
Operator: [Operator Instructions] Our next question comes from Peter Hagen with ABG. Please go ahead. 
Peter Hagen: Yes. Good afternoon. Quick question on the --. 
Richard Tyrrell: Hi Peter. 
Peter Hagen: Hi. The steam turbine ships. So we've read about a dark fleet now coming into the LNG space as well as we've seen in the tankers. Russian interests are now accumulating all the ships. To what extent do you think that is going to stand in the way of those ships sort of exiting the markets? 
Richard Tyrrell: I think it's only going to apply to a small handful of ships. People kind of ask the same thing about how many ships are going to go and become [SAUs] (ph). And at the end of the day, we're talking about small handful of ships. In the case of those ships if they are in some kind of dark fleet there's no way they're coming back. And neither are we sort of using our fleet to lift Russian volumes, so for the market that we are focused on, they just become irrelevant and the fact that our contention for those liftings other margins is helping for us. 
Peter Hagen: Okay. Yeah, understood. And in terms of the Kool Tiger, you're talking about the two processes, formal processes that you're participating in as we speak. Could you say something about the sort of charter, the type of charter which is asking in those two tenders for ships, is it sort of -- is it based to US-based projects or are there more Indian charterers behind those? 
Richard Tyrrell: I'd say they are more, well clearly longer term and more sort of utility, more sort of demand side customers as opposed to supply side customers. Does that sort of help? 
Peter Hagen: Yeah, that helps a lot, actually. Okay. Yeah. So I would say that would bring down the counterparty risk again in those length of deals. And just then finally from me, you've paid $0.41 now for what was it, four or five quarters? Is that a set number now? Or would you sort of make other considerations if you were to go up or down from those $0.40, $0.41, I'm sorry. 
John Boots: So, Peter, this is John. We felt very comfortable with the quarter two dividend. Historically, we've paid out roughly 70% of net income, close to 80% of free cash flow to equity after some refinancing in June last year. And as we always state going forward, the dividends will depend on many factors including fixtures for the open vessels and the general, how did LNG market develops during the winter season. Obviously, in the near-term we have the drydocks. But these have performed very well so far. So that's as much as we can say at this point. Hopefully, that answers your question. 
Peter Hagen: Yeah. Well, I'm expecting $0.41 for next quarter as well. Okay. Thank you guys. 
Richard Tyrrell: Thank you, Peter. 
Operator: Thank you. At this time, I show no further questions in queue. I will turn the call back to Mr. Tyrrell for closing remarks. 
Richard Tyrrell: Super. Well thanks everybody for joining. Let me just wish all those in the US a great Labor Day weekend and I look forward to speaking next time. Cheerio everybody. 
John Boots: Thank you. 
Operator: This does conclude today's call. We thank you for your participation, you may disconnect at any time.